Operator: Good day, ladies and gentlemen, and welcome to the Miller Industries Second Quarter 2025 Results Conference Call. Please note this event is being recorded. And now at this time, I would like to turn the call over to Mike Gaudreau at FTI Consulting. Please go ahead, sir.
Michael Gaudreau: Thank you, and good morning, everyone. I would like to welcome you to the Miller Industries conference call. We are here to discuss the company's 2025 second quarter results, which were released after the close of market yesterday. With us from the management team today are Bill Miller, Chairman of the Board; Will Miller, President and CEO; Debbie Whitmire, Executive Vice President and CFO; and Frank Madonia, Executive Vice President, Secretary and General Counsel. Today's call will begin with formal remarks from management, followed by a question-and-answer session. Please note in this morning's conference call, management may make forward-looking statements in accordance with the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. I'd like to call your attention to the risks related to these statements, which are more fully described in the company's annual report filed on Form 10-K and other filings with the Securities and Exchange Commission. At this time, I'd like to turn the call over to Will. Please go ahead, Will.
William G. Miller: Good morning, everyone, and thank you for joining us today. I would like to start with a brief statement before I hand the call over to Debbie to discuss our results in more detail. In the second quarter, we continued to face challenges in the market, predominantly related to industry-wide demand headwinds. Retail sales activity was down 20% quarter-over-quarter, resulting in a 30% decrease in order intake from our distributors. We attribute the decreased demand largely to lower consumer confidence and elevated cost of ownership, which takes into account interest rates, insurance costs and tariff-related price increases. We continued to see elevated field inventory in our distribution channel impacting demand, which has persisted since the end of last year. We are closely monitoring and adjusting production levels to meet current demand and accelerate the reduction of channel inventory, taking significant steps to improve our costs and securing our supply chain to mitigate the long-term risks of tariffs. Myself and our management team have navigated significant uncertainties in the past and will take necessary action to overcome the current challenges to ensure the company is stronger and better positioned to capitalize on opportunities as our market improves. Now I'll turn the call over to Debbie to review the second quarter financial results. Following her remarks, I'll provide some comments on the current market environment and update on our outlook with the proactive steps we are taking at this time.
Deborah L. Whitmire: Thanks, Will, and good morning, everyone. Net sales for the second quarter of 2025 were $214 million versus $371.5 million for the second quarter of 2024, a 42.4% year-over-year decrease driven largely by a drop in chassis volumes after volumes were significantly elevated in the prior year period. Gross profit was $34.6 million or 16.2% of net sales for the second quarter of 2025 compared to $51.5 million (sic) [ $51.1 million ] or 13.8% of net sales for the prior year period. The margin improvement was driven mainly by product mix with a higher percentage of body deliveries compared to chassis volumes. SG&A expenses were $23.4 million in the second quarter of 2025 compared to $22.8 million in the second quarter of 2024. As a percentage of net sales, SG&A was 10.9%, 480 basis points higher than the prior year period. The year-over-year increase was driven primarily by higher stock-based compensation expense and employee compensation in the current period. We are actively reviewing our SG&A structure to ensure that our cost base remains aligned with our strategy and the current market environment. Interest expense for the quarter was $249,000 (sic) [ $294,000 ] compared to $2 million in the prior year period, a decline of around 85.6%, driven primarily by lower customer floor plan expense, and to a lesser extent, a reduction in debt levels. Other expenses for the second quarter were $479,000 compared to other income of $13,000 for the second quarter of 2024, attributable largely to currency exchange rate fluctuations. As a result of all the factors above, net income for the second quarter of 2025 was $8.5 million or $0.73 per diluted share compared to net income of $20.5 million or $1.78 per diluted share in the prior year period. I'd like to now shift the discussion on our balance sheet. As we predicted last quarter, our receivables are converting into cash at a faster rate as inventory levels for our business and our distributors continue to normalize. At the end of the second quarter, we had a cash balance of $31.8 million, up $4.4 million sequentially and up $7.5 million as of the end of last year. Not only were we able to grow our cash balance this quarter, but we also reduced our debt balance by $20 million, down to $55 million during the second quarter and has since paid down another $5 million bringing the current balance to $50 million. Consequently, accounts receivables as of June 30, 2025, was $270.4 million compared to $292.6 million as of the end of last quarter and $313.4 million as of the end of last year. The continued conversion of accounts receivable to cash is a trend we expect will continue into the second half of the year. Inventories as of the end of Q2 were $165.5 million compared to $164.9 million in Q1 and $186.2 million as of December 31, 2024. Lastly, accounts payable as of June 30, 2025, was $98 million compared to $113.5 million as of March 31, 2025, and $145.9 million as of December 31, 2024. Now I'll turn the call back to Will to discuss our outlook on the second half of 2025.
William G. Miller: Thank you, Debbie. I would like to provide some insight into what we see moving forward in the second half of 2025. Overall, we are currently seeing industry-wide demand headwinds. While we expect demand to rebound -- while we expected demand to rebound in the second half of this year, we have seen continued pressure on the retail customer, delaying purchases of new equipment. As stated before, these pressures include interest rates, insurance costs and tariff-related price increases. As a result, inventory in the distribution channel has not returned to optimal levels as quickly as we had anticipated. While we do expect a recovery in the commercial towing market in the near term, we are making decisions based on the current market environment. The health of our distribution is key to our success, so we will adjust production levels to accelerate the reduction of field inventory and hopes that we will return to a normalized flow of product in the coming months. Alongside these actions, we are also implementing targeted cost reduction initiatives in the second half of the year to better align our operational structure with current demand levels. These actions are intended to rightsize the business, preserve margins and create operating leverage as demands normalize. Next, while the tariff landscape is rapidly evolving, we are continuing our efforts to mitigate potential impacts. Earlier this year, we implemented tariff surcharges on all new orders of manufactured product along with additional price increases on parts and accessories. We will continue to monitor the situation and adjust as needed. Finally, a quick update on the California Air Resource Board or CARB. The only remaining state enforcing CARB regulations is California. We will continue to advocate for our dealers and their customers with hopes of resolution in the future. But for now, our sales into the state of California will remain limited until further action is taken by the federal government. Next, I'd like to show an updated graph of body and chassis inventory. As you can see, chassis inventory has now crossed below body inventory, which is ideal as historically chassis inventory has always been lower than body inventory. Despite the improvement we are seeing, inventory is still elevated compared to optimal levels. But with the production plan we are implementing, we now anticipate field inventory normalizing over the next few quarters. Moving forward, despite the current challenges in the market, all fundamental drivers for our long-term business performance such as miles driven, average age of vehicles on the road and accidents per mile are steadily climbing. As expected, the business is generating significant free cash flow at this time, which we are using to pay down debt and strategically position ourselves for future success. With the proactive steps we are taking to reduce channel inventory and rightsize costs, we are confident we will be well positioned as the market environment improves and we will enter 2026 from a position of strength. For the remainder of the year, we will prioritize operational efficiency and capital allocation as we position the company for sustained long-term growth. We believe strongly in the fundamentals of our business and anticipate a meaningful recovery in the commercial market as well as potential upside for pending military contracts, providing us with revenue and earnings growth in 2026 and years to come. To continue on capital allocation. Despite near-term uncertainty, we remain committed to investing in our business and creating long- term shareholder value. As always, our top priority will be returning capital to shareholders through our industry-leading dividend, which will be paid for the 59th consecutive quarter. Along with this, we will continue to repurchase shares as we believe strongly in our position in the market and strongly for the long- term growth. We believe our shares represent a fantastic investment and are confident this sends a strong message for our belief and long-term value of our company. Lastly, we will invest in our business prioritizing innovation, automation and human capital. As we've said in prior quarters, we are evaluating and making initial plans for capacity expansion particularly related to the steady military RFQ activity we are experiencing. If and when we make decisions on this topic, we will provide further updates. Due to the heightened uncertainty and near-term challenges we've discussed, we are revising our previously issued guidance for the 2025 fiscal year. We now expect revenues in the range of $750 million to $800 million. And at this time, we are suspending guidance on earnings per share. The organization-wide operational initiatives we are evaluating could have a material impact on our cost structure, potentially resulting in extraordinary expenses and potential losses in the second half of the year. We expect to provide updates as we make decisions and gather more information. It is important to note that our revised revenue guidance anticipates no changes in the current regulations or unknown effects of rapidly evolving tariff situation. In closing, while there is uncertainty in the market at this time, we feel well equipped to navigate these challenges and position ourselves for future growth. We remain committed to our long-term strategy and the core values that this company was built on. Miller Industries will continue to have the best people, product and distribution network in the towing and recovery industry. And we feel confident in our continued growth and success in years to come. In closing, the entire management team and I would like to thank all of our employees, suppliers, customers and shareholders for their continued support. At this time, we'd like to open the line for any questions.
Operator: [Operator Instructions] Your first question comes from the line of Mike Shlisky from D.A. Davidson.
Michael Shlisky: Yes. Maybe to start off, can we maybe talk about -- just a little bit deeper dive into what the actions are that you might be taking to reduce your cost structure. And I guess if the top line challenges are hopefully somewhat temporary, only a few more quarters here, I understand there's a need to preserve capacity to keep people when things do come back to more normalized levels. So I'm just kind of wondering what can be done in the near term.
William G. Miller: Currently, we are analyzing all potential aspects of the business, both SG&A expenses, temporary expenses, long-term expenses; current projects that are underway, both from an IT perspective or any other potential activities we're doing inside the business; marketing; sales. And on top of that, yes, we believe this is short term so we certainly want to make sure that the decisions that we make in the short term don't affect the long-term success of the organization. And we're paying close attention to making sure that whatever changes that we make or cuts that we make along the way don't affect our long-term success. Potentially postponing some of those expenses in the future quarters.
Michael Shlisky: Sure. That makes sense as well. I also want to ask about what you can [ do ] on the sales side to try and get folks come off the sidelines here. My impression of Miller is that you're not really big on promotional activity, making deals and things of that nature. The product delivery is a very good value at the price that it's at. I was wondering if you were doing anything though at your level as opposed to at the dealer level to help push the folks maybe off the sidelines?
William G. Miller: Certainly, over the last 6 months or so, we've worked strategically with our chassis partners to create incentives and programs along with ourselves for our distribution channel to move product. We continue to focus on that. We are working diligently in all manners to help market and move the product, particularly more in the Class 5 model chassis than in the Class 6 and Class 8 product.
Michael Shlisky: Got it. So if we do see an interest rate cut, maybe 0.5 point in the fall, let's say, do you think that's going to unlock some orders? And is the rate cut currently included in your guidance? Or would that just be a potential piece of upside?
William G. Miller: It would be potential upside. So currently, what we're looking at is sort of no change in the environment is what we're basing our predictions off of our future for the next few quarters. There's no change in the environment. I believe that any cut in the rate, along with the accelerated depreciation that was just passed in the tax bill, along with potential need for product year-end or need for spending capital by the year-end could all be advantages for our distribution moving and reducing their inventory levels between now and the year-end, which will mean ultimately resulting in increased order intake and need to increase production levels again at our facilities.
Michael Shlisky: Got it. And I don't know -- I didn't know if I caught it, Debbie, but can you just share how much is left on the buyback? And what's the tone of the Board towards asking for more? Stock is basically -- has been this level in almost 2 years. I'd be curious what the tone is in the boardroom.
Deborah L. Whitmire: There was $25 million originally on that buyback plan. We currently bought $5 million, so there's $20 million left on that. The Board evaluates that every quarter. But obviously, with the future of the business and the activity that we're seeing on the military side, we do believe investing back in the company at the current price is advantageous for all shareholders. So we will aggressively look at that in the coming quarters.
Michael Shlisky: Great. Maybe one last one for me. Will, you mentioned, as you always do, potential military work. I'd be curious if you could just update us just a little bit deeper on the number of RFQs or RFPs that you're working on right now if you compare it to what it was this time last year or last quarter?
William G. Miller: I think we've been -- continue to be successful on small projects on a quarterly basis. The contract with the Canadian military was finally signed over the past quarter that was announced last November. So that's been fully secured for business in the future. At this time, we're still working on multiple larger RFQs, but none of those have gotten to the contract or being -- have been awarded at this time. But we're still actively pursuing quite a few large ones, and the small ones continue to come in on a quarterly basis -- or a monthly basis. So we're still seeing quite a bit of activity, even activity beyond what we saw pre-COVID levels in 2018 and '19 for future potential military business.
Michael Shlisky: Great. You know what, I better squeeze one more in if you don't mind.
William G. Miller: No, no.
Michael Shlisky: Yes, okay. I appreciate this, great. Can you maybe share a little bit about the back half of the year your expectations on the mix between chassis invoices and chassis plus body -- I mean, sorry, body invoices and chassis plus body invoices and the gross margin impact that we might be looking at. You had an all-time record gross margin in the quarter here that just finished, but I'm curious kind of how things might stand in the back half.
William G. Miller: Yes. I mean, in the back half, as you saw the chassis inventory dropping on the chart, we anticipate that chassis will start -- the mix will start to normalize over the next 2 quarters and into next year, certainly normalize back to historical levels. We believe margins will settle back in the mid-13s as we move forward. Can't predict the exact timing of when it's going to move back to historical, but we anticipate that at some time in the future, it will sort of move back into the mid-13s.
Operator: There are no further questions at this time. I'd like to turn the call over to Will Miller for closing comments. Sir, please go ahead.
William G. Miller: Thank you. I'd like to thank you all again for joining us on the call today. And we look forward to speaking with you on our third quarter conference call. If you'd like information on how to participate and ask questions on the call, please visit our Investor Relations website, millerind.com/investors or e-mail investor.relations@millerind.com. Thank you, and may God bless you all.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for your participation. You may now disconnect.